Operator: Good afternoon, and welcome to Shoe Carnival's Fiscal Year 2015 Third Quarter Earnings Conference Call. Today's call is being recorded and is also being broadcast via live webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited.
 This conference may contain forward-looking statements that involve a number of risk factors. These risk factors could cause the company's actual results to be materially different from those projected in such statements. These forward-looking statements should be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. The company disclaims any obligation to update any of the risk factors or to publicly announce any revisions to the forward-looking statements talked about during this conference call or contained in today's press release to reflect future events or developments.
 I will now turn the call over to Mr. Cliff Sifford, President and Chief Executive Officer, Chief Merchandising Officer of Shoe Carnival, for opening remarks. Mr. Clifford [ph], you may begin. 
Clifton Sifford: Thank you, and welcome to Shoe Carnival's Third Quarter Fiscal 2015 Earnings Conference Call. 
 Joining me on the call today is Kerry Jackson, Senior Executive Vice President, Chief Operating and Financial Officer. On today's call, I'll provide a brief overview of the company's third quarter performance and an update on our fiscal year guidance. Kerry will review the third quarter financial results and our guidance in more detail. Then we'll open the call to take your questions. 
 We are happy to report a solid third quarter performance with our fifth consecutive quarter of positive comps. The quarter began very strong, and we were able to maintain good momentum, which led to a 6% comparable store sales gain for the quarter. This comparable store sales increase comes on top of a 2.3% increase for the same time period last year. As expected, our strong performance was driven primarily by robust athletic sales. However, we're also very pleased with our double-digit comparable store sales increase in the women's boot category. 
 In addition, we benefited from a combination of higher conversion rates, average sales per transactions and units per transactions, which were offset by a low single-digit decline in traffic. We ended the quarter with inventory up approximately 0.3% on a per-store basis, in line with our expectations. 
 As we discussed on our last earnings call, we were aided by a calendar shift that moved many of our early back-to-school dates and tax-free holidays into August this year from July of last year. 
 This shift contributed approximately $7 million in sales to the third quarter from the second quarter. As a reminder, last year in the markets we serve, 13 states had tax-free holidays that were observed at the end of fiscal July. This year, 9 of those states shifted their tax-free holidays to fiscal August. We saw the momentum of this shift gave us in early part of August continued throughout the month and into the remainder of the quarter. As a result, we experienced comparable store sales increases each month of the quarter and 11 out of 13 weeks during the quarter. 
 The shift in back-to-school sales, along with increased shipping costs associated with our multichannel initiatives, resulted in a 70 basis point reduction in merchandise margin compared to the third quarter last year. However, we are able to maintain a gross margin rate of 30.1%, which was flat to the same time period last year. 
 SG&A as a percent of net sales increased 140 basis points due to a shift in back-to-school marketing and an increase in equity compensation. Kerry will give more detail on this in his prepared remarks.
 Operating margin decreased 140 basis points. As a result, on a net basis, we produced earnings per diluted share of $0.47, which is in line with our expectations. 
 In the third quarter, we achieved a record number of loyal shoppers by adding over 847,000 members to Shoe Perks, our loyalty program. We now have over 8 million members, who spend on average 23% more per transaction than nonmembers and accounted for over 57% of our third quarter sales. Shoe Perks is quickly becoming our most important tool for communicating special promotion and sales events to our customers.
 Our multichannel -- our sales initiative is working well and presents significant opportunities ahead. Our team is most excited about our latest step toward a seamless, endless aisle experience for our customer. 
 As I mentioned on our earnings call last quarter, in July, we launched our SHOES2U initiative, which allows our store associates to increase conversion by opening the overwhelming majority of our inventory assortment to every store through the point of sale. If a customer is looking for a particular size or style the store does not have, the associate can order it on the spot and have it shipped directly to our customer's home. Since the launch of this technology, we are converting sales that previously may have left our store and gone to a competitor. 
 We continue to make improvement to our multichannel capabilities. In the next few days, we will launch our new and improved Shoe Carnival app. This app will now allow a customer to purchase online directly from the app as well as scan a bar code in store to help find their size. We continue to make investments in our multichannel capability. Future enhancements included buy online, pick up in store along with buy online, ship to store are scheduled to launch in the first half of next year.
 Turning now to real estate. We firmly believe we have a tremendous opportunity to further grow our family footwear store base, and we are excited to welcome Jeff Fink as Senior Vice President, Real Estate. Jeff started with us in mid-October and is now in charge of our store site selections and lease administration function. Jeff joins us with over 27 years of real estate industry experience across footwear and specialty retail. His contribution will be instrumental as we grow our existing presence in both large and small markets. 
 During the third quarter, we opened up 6 stores and closed 2 stores. Our store growth plan continues to focus on strong trade areas within our current footprint and to take our underperforming stores that have minimal opportunity to improve and either renegotiate lease, relocate or close the stores. 
 We ended the quarter with 404 stores in 34 states and Puerto Rico. This past weekend, we opened 2 additional stores. And by year-end, we'll close one store, ending the year with approximately 405 stores. We have now opened our first 2 small market stores, the first one in Blytheville, Arkansas, and the second in Marion, Indiana. While it's very early in the life cycle, we are happy to say both stores are performing above expectation. We expect consistent small-market unit growth over the next several years as we take advantage of the opportunity to expand into new and fill in existing markets with stores that are approximately 5,000 square feet. 
 These small-market stores are less than half the size of our current locations. This provides consumers in local communities a convenient shopping experience that builds upon Shoe Carnival's strong track record of delivering moderately priced branded footwear for the entire family. In addition, our multichannel strategy give these customers access to the vast majority of our total assortment of millions of pairs either while in our stores, through SHOES2U or from the comfort of their home. 
 Moving on to merchandise. As I mentioned earlier on today's call, we started off the third quarter strong, and we're very pleased with the sales performance of our athletic department and women's fashion boots. 
 Focusing on sales by department for a moment. Women's nonathletic ended the quarter flat to last year on a comparable basis. Women's boots were up in the low 20s, which was even more impressive given that this was on top of the mid-20s increase last year. The sandal category continued to perform well throughout the quarter, posting a high single-digit comparable store sales increase. These increases were offset by a decrease in women's dress shoes along with women's sport casuals and tailored casual. 
 Men's nonathletic was up low single digits, driven primarily by men's dress, canvas casuals and boots. Kids was up high single digits, driven by athletic and sandals. And adult athletics were up low double digits, driven by men's and women's canvas and running, along with men's basketball.
 I want to close by offering some color on the remainder of the year. Once we entered into November and the weather continued to be unseasonably warm, we began to see lower boot sales, especially tall-shafted boots and cold-weather boots. This continued through our back to -- Black Friday sale event this past weekend and with comp store sales results that were below our expectation. As a result, November comparable store sales were down less than 1%. 
 As I stated earlier in the call, our boot business was very strong throughout the third quarter. This gives us confidence that once more seasonable weather returns, boot sales will once again be a key driver of our sales. However, even though we have confidence that we will see sales in boots accelerate again, we will proactively step up the promotional cadence of the category so that we can assure clean inventory position headed into -- heading into the spring season. 
 Based on our quarter-to-date results, we now expect comparable store sales for the year to be up approximately 3% with merchandise margins basically flat producing full year EPS of $1.38 to $1.43 a share. Kerry will give more detail on this in his prepared remark. 
 With that overview, I would like to turn the call over to Kerry. 
W. Jackson: Thank you, Cliff. Third quarter net sales increased $15.0 million to $269.7 million as compared to the third quarter last year. The net sales increase was driven by sales of $7.3 million from the 26 new stores opened since the beginning of the third quarter of fiscal 2014 and a $14.2 million increase in comp store sales. This net sales increase is partially offset by a $6.5 million loss in sales from the 20 stores closed since the beginning of the third quarter of fiscal 2014. 
 Our gross profit margin for the quarter was 30.1%, which was unchanged compared to third quarter last year. 
 SG&A expenses increased $7.2 million in the third quarter of fiscal 2015 to $66.1 million. As a percentage of sales, these expenses increased to 24.5% compared to 23.1% in the third quarter of fiscal 2014. The majority of the SG&A expense increase was due to a $2.5 million increase in advertising in August of this year and a $2.4 million increase in equity compensation. 
 As we mentioned on our call -- last earnings call, a shift in the back-to-school tax-free calendar resulted in sales and advertising expenses shifting out of the last week of the second quarter of last year and ended the first week of the third quarter this year. 
 Focusing on equity compensation expense for a moment. In the third quarter of fiscal 2014, certain performance-based restricted stock grants were deemed not likely to vest, and as a result, this expense was reduced by $2.3 million in the third quarter last year. This reduction in equity compensation expense did not reoccur in the third quarter of fiscal 2015.
 Preopening costs included in both cost of sales and SG&A increased $59,000 in the third quarter of fiscal 2015 to $679,000. Total store closing and impairment charges included in both cost of sales and SG&A in Q3 this year were $405,000 compared to $594,000 in Q3 last year. 
 The effective income tax rate for the third quarter of 2015 was 38.0% compared to 39.1% for the same period in fiscal 2014. For the full year of fiscal 2015, we expect our tax rate to be approximately 38.5%. 
 Net earnings for the third quarter were $9.4 million or $0.47 per diluted share. For the third quarter last year, we reported net earnings of $10.8 million or $0.54 per diluted share.
 Now turning to our cash position and information affecting cash flow. In the third quarter of this year, we repurchased approximately 429,000 shares of common stock at a total cost of $10.2 million. The amount that remained available under our $25 million share repurchase authorization at the end of Q3 was $14.8 million. 
 Depreciation expense was $5.8 million in Q3. We continue to expect depreciation expense to be approximately $23 million for the full fiscal year. 
 We expect capital expenditures for the full fiscal 2015, including actual expenditures year-to-date, to be between $27 million and $28 million. Approximately $9 million of the total capital expenditures are expected to be from new stores, and $9 million will be used for store relocations and remodels. And we expect lease incentives in the range of $6 million to $7 million for the year. 
 My final comment today will focus on adding a little color on our sales and earnings expectation for the fourth quarter of this year. Like Cliff said earlier, we expect our annual comps to increase approximately 3%. While our merchandise margin is expected to be about the same as last year due to leveraging our buying, distribution and occupancy costs, we expect to see a slight increase in our gross profit margin. 
 As a percentage of sales, expenses are expected to be flat at the high end of our sales expectations. These expectations should result in diluted EPS in the range of $1.38 to $1.43. This represents an increase of 9% to 13% over diluted EPS earned in last fiscal year.
 Included in our annual expectations, our Q4 expectations of comp store sales of flat to up low single digit, a decline in our merchandise margin in excess of the leveraging of our buying, distribution and occupancy costs and a moderate leveraging of our SG&A. 
 While this may sound obvious, it bears emphasizing. We believe that we will ultimately -- where we ultimately come out within the EPS range will be primarily determined on how our boot inventories sell during the remainder of the quarter. We further believe that if we see weather supportive of selling boots, we should achieve the high end of our expectations, and without support of weather, we will trend to a lower end of our expectations. 
 Lastly, our expectations for the fourth quarter and the fiscal year do not include any impairment for our Puerto Rico stores. We operate 9 stores in Puerto Rico with combined net book value of long-lived assets of $5.5 million. Puerto Rico is experiencing economic crisis characterized by a deep recession and defaults on its public sector debt. Our current estimate of undiscounted cash flows indicates that carrying amounts of the long-lived assets are expected to be recovered and, therefore, no impairments will be necessary. Our estimated cash flows might change in future periods, pending further developments in the economic environment and possible further defaults in Puerto Rico.   
 This concludes our quarterly review. Cliff and I are now available to take your questions. 
Operator: [Operator Instructions] First question today comes from Jeff Stein with Northcoast Research. 
Jeffrey Stein: First question for Kerry. In the third quarter, Kerry, I think -- in the second quarter conference call, I think you mentioned that you expected ad spending to be up $3.5 million, and I think you said today, it was up $2.5 million. So I'm wondering, did you reduce it as a result of the weaker trend that you saw? And are you planning to spend that money in the fourth quarter? Or how should we think about that $3.5 million versus the $2.5 million you actually spent? 
W. Jackson: Well, we were -- when I -- I believe what I referenced on the call was not as specific as what I referenced in this call. I was talking about the -- for the full quarter, we were going to be up closer to $3.5 million. We were up over $3 million, but $2.5 million of that came in August. But the majority of the increase for the quarter was going to be related to just August itself. I don't think our actual expenses for August by itself changed. It's just I may have -- I think I -- I stated it better to more clarify it that it's really with that shift into August, those advertising costs specific to the back-to-school shift. 
Jeffrey Stein: Okay. So in other words, your ad spend ended up being exactly what you thought it would be. 
W. Jackson: Well, it's a little less than the $3.5 million, but it was close. 
Jeffrey Stein: Okay. All right. And can you... 
W. Jackson: That will -- that won't affect the Q4 numbers, to answer your other question. 
Jeffrey Stein: Okay. Terrific. And as far as your boot inventories, as a percent of your total inventories, what would boots account for? And then, one more question would be, can you refresh my memory in terms of how much the port slowdown cost you in the fourth quarter last year? 
Clifton Sifford: Well, we reported last year the port slowdown -- I think I'm right on this, Kerry. You may have to correct me on it. It was just over $300,000 in the fourth quarter. 
W. Jackson: I have to go back... 
Clifton Sifford: We need to go back and look at that, Jeff. But that's -- from memory, that's what I remember. Boot inventory is -- of the total, is that women's, men's and kids? 
W. Jackson: I'll get it. 
Clifton Sifford: We'll get that for you in just a second. I will tell you that boots account for roughly 25% of our total business in the fourth quarter. I'll give you the inventories on that. Just give us a moment. 
Jeffrey Stein: Great. Okay. You can just answer that later and take the next question from the next guy in queue. 
Operator: And next question comes from Eddie Plank with Jefferies. 
Edward Plank: Just wondering, can you remind us what -- could you just remind us what the comp cadence was in the fourth quarter of last year by month? It's a tough comp to last year, and I'm just wondering, since you're down a little in November, just trying to get a sense where that opportunity is. 
Clifton Sifford: Yes. I'll give you that answer, Eddie, but I want you to -- caution you that a lot of our fourth quarter comp last year was driven by the fact that we had really rough weather the year prior. And the weather played out much better for us last year from a comp perspective. If you remember, in 2013, we had hundreds of store close days in the fourth quarter. So we called that out in our fourth quarter conference call, but the way the earnings played out -- or excuse me, the way the comps played out in the fourth quarter last year, we were up mid-singles in November, high singles in December and low doubles in January. 
Edward Plank: Great. That's helpful. And then, Kerry, to confirm, did you say a slight increase in gross margin for the year or for the fourth quarter? 
W. Jackson: For the year. For the fourth quarter, the reduction in the -- the increase in the merchandise margin will be in excess of what we leverage our BD&Os, so we should see down -- slightly down gross profit margin in Q4, but on the year, it will be up because of the leveraging of the BD&O. 
Edward Plank: Got it. Okay. And then just real quick lastly, just any update on the better brands strategy, Cliff? I mean, kind of how it's playing out, the expectations -- or what the opportunity still is there? 
Clifton Sifford: Actually, I'm glad you asked that question, Ed. I probably ought to put that in my prepaid remarks every quarter, but we're still very pleased with the way better brands were working. Our comps in those stores are still running better than the comps in the stores that don't have the better brands, and our percent of women's business to the overall store has risen to about 27.5%. If you remember, over the next 3 to 4 years, we expect to get it to 30%, and we're well on our way to do that. 
Operator: Next question comes from Jill Nelson with Johnson Rice. 
Jill Caruthers: Just a question. Could you talk about -- it looks like you have very strong boot numbers for third quarter that you saw quite a slowdown in November. If you can just maybe talk about it, given we really didn't have any cold weather in Q3, to know doubt just kind of that variance. 
Clifton Sifford: Jill, we -- there's a -- here's the way we look at it, Jill, whether it's right or wrong, I'm going to have to let you guys judge that, but we think that we had an incredible strong assortment of booties for second and third quarter and the customers reacted very favorable to that. And so -- as you get into November and then to the fourth quarter and weather from the year before affects you, then -- like as it did last year because November was a very cool month and -- as was December and January. 
 And you don't comp that coolness. We beat the coolness, if you would, then it makes the cold-weather boots and the tall-shafted boots a little more difficult to sell. And that's the way we look at it. We think that the customer has voted yes. They like our boots. We had a very strong comp in October last year in boots, and we comped positive, I guess, to that this year, and the weather wasn't that cool. So we believe the customers have voted yes. They're just waiting now for the weather to get cool so that the cold weather, the fur-lined boots, all the boots that normally sell in the fourth quarter will cut the momentum. 
Jill Caruthers: I appreciate that commentary. And maybe, if you could just talk about November, Black Friday kind of weakened performance of athletic and your canvas category, how that performance held in. 
Clifton Sifford: So for the month, I'd rather give that to you by the month and not get specific about the Black Friday event itself. For the month, our athletic business continued to perform as did our canvas business. Though I'm -- we believe that -- we absolutely believe we're still on a athletic run and that, that will continue throughout the fourth quarter and into next year. 
Jill Caruthers: Okay. And then just lastly, if you could you give us an update on the ship-from-store capabilities. I believe you're at 250 stores looking to get to 350 stores at year-end. Just kind of the update there and just some of the efficiency you're seeing from that process. 
Clifton Sifford: We're now shipping from, I believe, every store in the company. In fact, except for the store that we're going to close at the end of the year, we're shipping product every store. Did that answer your question? 
Jill Caruthers: Yes, it did. 
Operator: Next question comes from Sam Poser with Sterne Agee. 
Sam Poser: A couple things. Can you give us -- can you give us a breakdown of athletic between men's, women's and kids for the quarter? 
Clifton Sifford: I thought you would ask about boots, Sam. So I don't have that right now. Breakdown as far as comps or as the total? 
Sam Poser: No, as far as the comps go, I mean, where you're seeing the biggest growth within that nice comp you had in athletic? 
Clifton Sifford: Believe or not, it was fairly close. It was within 1%. We got double-digit growth out of our -- excuse me, out of our adult athletic with women's slightly outperforming men's. And we got very high single-digit growth out of our kids athletic. 
Sam Poser: Okay. I mean, I guess the question is, is how is your inventory year over -- like, your boot business in the quarter was up, but it clearly slowed down at the beginning of Q -- although, it slowed down at the beginning of Q4. So the question really is, is where are your -- is your boot inventory -- what part of your inventory is up that's making you take these price actions which led you, I guess, to lower the full year guidance a bit? 
Clifton Sifford: Well, the boot sales in the month of November were below our expectation. Any time you have a performance like that for a month as large as November, which happens to be the second-largest month of the quarter, then you need to react to that. We can't just sit by and hope that the weather comes. That's not a good strategy. Approximately -- and this will answer -- also answer Jeff's question from earlier, approximately 13% of our inventories in boots, which is not bad when you consider the fact that 25% of our business is done in boots for the fourth quarter. However, we do have categories that we feel we need to get a little more aggressive on, and we're going to do that. 
Sam Poser: Okay. And then, can you talk about some -- any of the brands that are driving things, especially in athletic and boots and other areas? 
Clifton Sifford: I could, but we don't really talk about brands, so I won't. Sam, you write often about the key brands, and the key brands that you recognized are our key brands as well. 
Sam Poser: Okay. And then what percent -- you mentioned that November is the second-largest month of the quarter, at least for boots. Could you give us in total, or maybe you can talk about last year, what -- like when you look at November, December, January, how -- what the percentages were by month as a percent of the total volume -- total revenue for the quarter? 
W. Jackson: Sam, November typically is about 1/3 of the sales for the quarter. 
Sam Poser: Right, and then like December is what, like 50%, and then you're left with the rest in January? 
W. Jackson: Yes. I know you break down each month, but December being a more important sales period, plus it's a 5-week period, it is significantly higher as a percent. And then January is kind of a quiet month. And that percent will drop below the November number, even though they're both a 4-week period. 
Sam Poser: And have you seen -- I guess the question is the -- let's ask it this way. The double-digit increase you had in athletic in the third quarter, has that continued with the same kind of velocity into Q4? And where you really... 
Clifton Sifford: Into Q4? 
Sam Poser: Yes. 
Clifton Sifford: Well, the athletic business was very strong for the month of November. I don't really want to give a percent over the phone. But I mean, I really don't want to give a percent, but let me just say it was up high singles. 
Operator: Next question comes from Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: So I've got some boot questions, even though you probably took boot questions, but I will give some boot questions, if that's you want. 
Clifton Sifford: I'm glad to take them. 
Christopher Svezia: So boots last -- just remind us fourth quarter last year, boots comped up high 20s, something like that? What was the number again? 
Clifton Sifford: Yes. That is correct. 
Christopher Svezia: Okay. And basically, you're telling us that in November, it didn't hit your plan. That it turned negative in November, the boot category, women [ph]? 
Clifton Sifford: Yes. It did. 
Christopher Svezia: Okay. And so your expectation is for it in the fourth quarter to do mid-single -- low single-digit comp, mid-single -- I'm just curious, what you're expecting. I'm just trying to get an idea what kind of acceleration we need to see in the business. 
Clifton Sifford: Even with the loss we had in November, which I'm applying to weather because I really believe that is the case. I believe if the weather does cooperate, we should see mid- to high single-digit increases in the month of December and January. You've got to remember, we're not going to sit back and wait for the weather to get here. That's really not a good strategy. We have a plan in place to create increased interest in our boot category. 
Christopher Svezia: Okay. And to get to that level of comp for December, you -- that's factored -- to do those promotions that added promotional cadence is factored into that guidance to get there? 
Clifton Sifford: That is correct. That is correct. 
Christopher Svezia: Okay. And just of the boot composition, is it mostly at this point just the cold-weather product? I mean, you're not sitting out a lot of tall shafted, above-the-knee kind of fashionable inventory. 
Clifton Sifford: We planned our tall-shafted boot business down, and we're achieving that plan. So we were correct in planning our inventories down in that category because the customers have definitely shied away and going more towards booties and mid-calf boots. What's not working right now is anything that you would primarily wear in cold weather. We have high shafted or fur lined. 
Christopher Svezia: Okay. And then, just on your year-end inventories, where do you expect total year-end inventory to be? I think beforehand, you expected it to be down on a per-store base. That's still the thought process? 
Clifton Sifford: We expect it to be flat to slightly down. 
Christopher Svezia: Okay, okay. And then on athletic. I'm just -- your -- just overall perspective, canvas has been strong for some time. Running for your channel has been strong. The fashion athletic running piece has been strong. Just put your hat on for a second. As you start to think about early next year and what could drive still the athletic business. Those still primarily in categories? 
Clifton Sifford: Chris, I get the privilege -- carl lets me go to some of the pre-lines. And I've been through pre-lines of all the key athletic brands. And I'm just going to tell you -- I'm just going to tell you, I don't see a slowdown coming. I think the product as we go on to spring '16 is stronger than the product we have in our stores today that are driving the kind of comp that we just talked about. I see this is as a continuing trend until you see an apparel trend. Now we were at Magic in August, and we felt like the -- we might start seeing a shift in denim, wide-leg denim, but I have not seen that yet. 
Christopher Svezia: Okay. And the pricing. When you talk about the product, looks better from a pricing perspective. Is that fair to say that goes incrementally higher as well? 
Clifton Sifford: That's another good question. Our top brand continues to get us better product. So therefore, you'll see increasing AURs there. And we continue to buy better product from our other brands as well. So I think you'll see low single-digit AUR increases. 
Christopher Svezia: Okay. Final question, Kerry, for you. SG&A, as we think about the incentive comp, though, that trued up a little bit here. As we think about it -- I know you don't want to give the guides for next year. But does that sort of level it out a bit for next year now that it's gone down, now it's kind of gone back up again? I'm just sort of curious how we think about that, that bucket? 
W. Jackson: Our thought process would be is that if we have accelerating earnings as a -- EPS as a percent over the prior year, our equity -- our compensation will go up. Our incentive compensation -- equity compensation will be relatively flat between the period. You'll see some incremental increase. Most likely every year, you'll see incremental increases but no dramatic changes like what we're seeing this year versus last. 
Operator: And we'll take another question from Jeff Stein with Northcoast Research. 
Jeffrey Stein: Yes. Cliff, it's Cyber Monday, and I've been trying to get on your site all day, and it says it's down for maintenance. Is that a problem on my end? Or has there been a problem on your end? 
Clifton Sifford: No. It's been an off-and-on problem on our end. For much of the day, the traffic on our site is overwhelming our servers. So we are currently up and have been since I've been -- we've been on the call. We have had occasional outages as you go on any day where you have a big volume day like today. 
Jeffrey Stein: Okay. All right. But nothing that should extend beyond today, assuming. 
Clifton Sifford: No. No. 
Jeffrey Stein: Okay. And how about can you bring us up-to-date on what's going in Texas? I think in the second quarter, you mentioned that your sales in Texas had held up pretty well. How about Q3? Is that still the case? 
Clifton Sifford: Our Texas stores are still holding up pretty well. We are experiencing issues on the border and both the northern border and the southern border, actually. And I think that's something other people have spoken to as well. But in a few of our cities where they are dependent upon oil, we've seen some issues. But overall, our Texas business remains okay. 
Jeffrey Stein: Great. Glad to hear. And then finally, I know your small-market stores haven't been open very long. But any surprises, any early takeaways from what you're seeing there besides the fact that it seems to be doing better than planned? 
Clifton Sifford: No, not yet. We're watching those stores very, very closely, and we are excited about it. I'm trying to contain myself on it because I think that we have a tremendous opportunity based on the early results. 
Jeffrey Stein: Are you seeing -- I cover another company that operates in relatively small markets. And one of the advantages that they have found, besides being kind of the only guys in town, is that their lease expense is quite low. And I'm wondering, if you could kind of give us some guidelines in terms of what you're paying on a per square foot basis compared to your larger market stores? 
Clifton Sifford: No, I really can't do that. No, no, no. I really can't do that. I will tell you that the advantage of operating in a small market for us, not only is the lease opportunity is attractive, but the fact that we're so well known in the Midwest, in the Southwest. And we open up the store, we don't -- there's no -- there's no period where you're trying to make the customer understand who we are. They know who we are immediately. And it's a very positive thing. Jeff, are you still there? 
Operator: He is still connected, sir. 
Clifton Sifford: Okay. 
W. Jackson: Jeff, let me follow up on your question that we answered earlier about what Q4 effect on the additional strike or slow port cost. In the fourth quarter, we said that it was a $0.03 effect. So that's just to clarify what your question was from earlier. 
Operator: And we'll go ahead and move to our next caller. [Operator Instructions] Our next caller is Steven Martin from Slater. 
Steven Martin: A couple questions. Kerry, on a ministerial level, can you give us the actual share count at the end of the quarter as opposed to the average? 
W. Jackson: Steve, I don't know that I have that with me. I just have the averages. 
Steven Martin: Okay. When you look at the -- you closed a fair amount of stores this year. In the aggregate, did those stores lose money, break even or make money? 
W. Jackson: Lost money. 
Steven Martin: Okay. Is it something that will be meaningful when we get into '16 as an increase in earnings? Or is it sort of marginal? 
W. Jackson: It's good -- the way this works is that when a store closes, typically, you're losing money. But like we've talked about before, next year, we're going to have additional store closings. Those stores will have store closing costs associated with them, impairments. So we actually are probably not going to see ourselves get clear of these cumulative store closing costs until sometime in '17 and '18, we'll start to see those costs diminish. They're not going to increase from what we had in '15 in future years, but they're not going to see a material decrease until possibly '17 or '18. 
Steven Martin: Okay. And that leads into my next question, which was, when you look out to 2016 now, what do you think you're open, close numbers are going to look like? 
W. Jackson: Right now, we're looking at opening 20 to 25 stores. And we'll have store closings sooner to what we're seeing this year. And we're still looking at some of the stores and how many were closed, how many are really low, et cetera. So rather than give you a specific number, we're just going to give you a guideline there. 
Steven Martin: Okay. Have you -- with respect to the slowdown in sales, albeit weather-related, two questions on inventory in the fourth quarter. Have you canceled orders that were pending for the fourth quarter? And last year's port strikes slowed receipts in the fourth quarter and into the first quarter. So do you have an opportunity in, let's say, the January through April period where you were missing product last year and you may not be missing it this year? 
Clifton Sifford: Actually, the port slowdown last year hurt us more as we entered into the fourth quarter than it did as we entered into the first quarter. So they were pretty much back at work by the time we got into the first quarter. So I don't see that as a tremendous opportunity. I do, however, think that there is a opportunity in the fourth quarter, especially in athletic because we're having a very steady flow of athletic as we move through this quarter. 
Steven Martin: Okay. And the order cancelation? 
Clifton Sifford: And from a cancelation standpoint, Steve, we always react at the downturn to business with canceling orders. That's always up to the newer [ph] communities, especially if they're ready to -- sitting on the dock, ready to ship. But we have canceled orders throughout the season. 
Steven Martin: Okay. With respect to e-commerce, when do you expect to be able to ship from third party? 
Clifton Sifford: We're looking to do that. Right now, it's on our agenda, but it's not on the forefront of the agenda. And we will probably start building that capability by the end of next year for launch in '17. We just believe that ship-to-store, ship-to-store and pick-up-in-store is a big, big opportunity now, and that's where we're putting our emphasis. 
Steven Martin: Okay. And now that you've had sort of a full year of the national advertising program, can you give us -- or almost a full year, can you talk about sort of what you've learned, preliminary conclusions, things you thought would happen that didn't? 
Clifton Sifford: Well, we run -- we have an agency that does research for us after every run of TV. And what we've seen is that our aided and nonaided recognition for our name is going up, and not just up but up in a positive way. It's very hard, Steve, to quantify how TV affects a customer. You're not collecting coupons. You're not telling the customer to missing the ad when they come in. It's just very hard to quantify exactly what TV is doing for us. So we have to do this research. And so far, we're finding that, that the customers are reacting positively and that our name is getting to be better known. And we're known for exactly what we want to be known for. We're known for brands. We're known for fun and exciting shopping experience. And those are the thing that you want to be known. And the research we're doing compares us to -- not only looks at Shoe Carnival but looks at all our competitors, whether they be direct competitors or [indiscernible] competitors. But we're pleased with what we're seeing. 
Harry Ikenson: Okay. One last one. When you look out at your store openings in 2016, are there new markets in there that we don't know about? Or do you expect them all or most to be in existing markets? 
Clifton Sifford: We're going to take the current footprint, and we'll grow within that footprint. We're not going to open any additional large markets until we complete with the large markets or at least further along with the large markets we've opened over the past couple years. As you know, we went into Dallas about 4 years ago, Detroit, Miami, Philadelphia and Buffalo. And we need to make sure that we are back-building those markets before we start taking on the expense and advertising in the new large market. 
Operator: And it appears there are no further questions in queue. I'd like to turn the conference back over to today's speakers for closing remarks. 
Clifton Sifford: Okay. I want to thank you for joining us today. And we look forward to discussing our full year results with you in March. I hope everyone here has a terrific holiday season. 
Operator: And ladies and gentlemen, that does conclude today's conference. We thank you for your participation. You may now disconnect. Have a great rest of your day.